Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BOS Third Quarter 2015 Results Conference Call. All participants are at present in listen-only mode. Following Management's formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded and will be available on the BOS website as of tomorrow. I would now like to remind everyone that this conference call may contain projections or other forward-looking statements regarding future events or the future performance of the Company. These statements are only predictions and may change as time passes. BOS does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including as a result of the changing industry and market trends, reduced demand for our products, the timely development of our new products and adoption by the market, increased competition in the industry and price reductions, as well as due to risks identified in the documents filed by the Company with the SEC. I would now hand the call over to Mr. Yuval Viner, CEO of the Company. Please go ahead.
Yuval Viner: Thank you. Welcome to all our listeners. We are encouraged by the second consecutive quarter with a GAAP net profit and I am confident that we will meet our target for the net profit in the year 2015. Revenues for the first nine months of the year '15 were lower than revenues of the comparable period last year. However, a certain improvement in the gross profit margin and lower operational and financial expenses led to net profit in the first nine months of the year 2015 compared to net loss in the comparable period last year. On these days, we are working intensively on the preparation toward the closing date of iDnext and Next-Line acquisition, which is scheduled to January 1, 2016. Following this acquisition, our RFID and mobile division will be able to offer customers, a one stop shop inventory management solution. This solution, we include various software solutions, equipment for automatic identification and tracking of inventory and the workforce to do the clinical inventory counting. This acquisition promotes our long-terms strategy to grow the strengths both, through acquisition. Now, I would like to turn over the call to our CFO Mr. Eyal Cohen.
Eyal Cohen: Thank you, Yuval. Our financial position as of September 2015 has improved as compared to the end of 2014. Loans, net of cash and deposits were reduced from $3.1 million from December '14 to $2.4 million from September '15. Working capital increased to $1.3 million as of September '15 from $600,000 on December '14. Shareholder equity amounted to $6 million, which is higher by 30% of the current market cap. BOS is now in position to explore growth opportunity. We are looking forward to integrate iDnext and Next-Line into our RFID and mobile division commencing January 2016. That completes my financial review. Thank you.
Operator: Before I ask Mr. Viner to go ahead with closing statement, I would like to remind the participants that a replay of this call will be available on the Company's website, www.boscorporate.com by tomorrow. Mr. Viner, would you like to make your concluding statement?
Yuval Viner: Thanks. We are confident that we will meet our short-term and long-term challenges. Talk to you again in our next quarter.